Henrik Andersen: Good morning again to everyone following our announcements on the 27th of January 2023. Let me also just start up front to say thank you for your support. First of all, to our shareholders, to our partners and not least to our colleagues, it is a result for 2022 that is not satisfying, but we are getting there. And I hope we are also able to give you quite a lot more details in the following presentation. So with that, highlight of 2022. We had a revenue of â¬14.5 billion. Revenue declined compared with 2021 driven by Russia and Ukraine exit as well as certain project delays. We ended with an EBIT margin of negative 8%. EBIT was hampered by some of the discussed supply chain disruptions, high inflation, energy crisis, some higher warranty provisions and also the offshore impairments. The total order intake was 11.2 gigawatts with an ASP of â¬1.07 million per megawatt. The wind turbine order intake in gigawatt was down 9% (sic) , but increased 3% in value due to the strong price increases to be seen a little earlier â later, sorry. And then in Service, strong performance in Service for the year. We had a 27% revenue growth in 2022 and had a 21.4% EBIT margin. We also progressed in sustainability and was recognized for it. Our circularity solution for wind turbine blades creates now an industry breakthrough. We'll talk more about it a little later. And then we were ranked as number two in the world from Corporate Knights. Yes, that is back from number one last year, but now in pursue of number one again. And then strategy was reaffirmed with progress within our core areas and also the business enablers. So I will say here, prime focus, not surprisingly, is to restore profitability in the turbine segment where there remains the focus by also building the industry discipline and maturity across not just as Vestas, but for the whole industry. So with that, let's go to what is currently the global business environment and that is another repeat. The businesses in here, our priorities are the same. But we also just want to highlight that when we look into 2023, we expect a business environment that is remained challenged with somehow still a cloudy visibility. We see high inflation that impacts production and also our execution cost generally across the board. We see some of the geopolitical uncertainty that also results to some extent in some trade barriers threaten both timelines and to some extent, also the visibility. We see that, yes, it is clearer and better than it was maybe a year ago, but also still with an unknown. When we talk about the energy crisis, I think it is maybe surprisingly in certain markets it improves a lot; in other markets, the market design is actually reducing wind power installations right now. And of course, we will talk much more about governments and also policy execution when we get a little later into the presentation. So let's start looking at the Power Solution. Power Solution, it all starts with a healthy backlog, and therefore, the increased pricing is a key factor for our value creation from Power Solution. When we look at it, all regions, we're contributing with a strong end to the year. They delivered 11.2 gigawatt of order intake. That is a 34% increase in ASP from Q4 2021 to 2022. The value of order intake in 2022 was â¬11.9 billion versus â¬11.6 billion in 2021. And actually, the fourth quarter order intake was the largest quarterly order intake in â¬1 billion in the history of Vestas. We remain adamant that we must continue to strengthen our commercial discipline and also the value chain together with our partners and that is to both through customers, but also through the supply chain to our very important partners in there. We ended having now a total 8 gigawatt of PSAs of the V236 offshore platform. Also here, we'll highlight that we are concerned about some of the offshore PPA levels we are seeing in certain countries, concerns with some of the government's aspirational target setting where electricity prices has to have a market price that is, in many cases, often 6, 8 and 10 times higher than what is being predicted as the PPA pricing. When we then look at it, wind turbine order backlog remains high at â¬19.1 billion, and that is also a slight increase from Q4 2021 to Q4 2022. You will see the breakdown across our regions to the right. And then again, please note the ASP and also the progress we have there which, of course, is also part of our execution for 2023. When we then look at the Service business, it was an absolute stellar year, but also a year where I have to say thank you to our more than 12,000 service people that works in the business that has kept our solutions running, absolutely incredible. So when we look at it, the Service continues to prove. It's importance to customers, especially in periods where high power prices. There has been transactional sales and also repowering activities at a very high level in a very busy year, especially also for the people that are still making our turbines running in countries like Ukraine under severely difficult conditions. When we look at the Service contracts, we also had signed a service contract in 44 different countries in 2022, including a 25-year AOM 5000 service contract in our largest wind project in Latin America of 846 megawatt. We're also increasing focus on the aging assets and repowering solutions with multiple agreements signed in 2022, with our closest customers and partners really appreciate what we are doing together. When we look at the â to the right, the service order backlog is â¬30.4 billion. We have 144 gigawatts under active service contracts and we now have an average contract duration in excess of 11 years. Again, here, importantly, and positively is when we look across the three regions, they are all growing in a year that has also been delivering on what we already have signed up as an agreement. With that, I'll go to the next slide, which is a new overview, which also illustrates our progress in building and leading and also developing the Vestas development activities across many countries currently. So commercially, a very busy year where we secured 11 â 13 gigawatt in new secured pipeline and had 1.6 gigawatt of order intake generated, including some of the side deals we are doing with our closest partners. There is a high activity level in many major energy markets, and I think it's a reflection here that it happens in Americas, both North and South. It happens in Europe, and it definitely happens in Asia Pacific where Pacific, as in Australia, is a very, very interesting and exciting hub for many things. We also see that the development portfolio includes now a high number of onshore projects and also now a few offshore and a few Power-to-X projects across our markets. Contribution from CIP and the ownership in CIP amounted to â¬30 million in the year. Of course, we are very pleased with the ownership and also very pleased with the partnership we have with CIP, and intend to develop and keep developing that accordingly to what we do with other global partners of Vestas. When we then look at the sort of the facts to the right, order intake generated was 1.6 gigawatt, as mentioned, new secure pipeline was 13 gigawatt, as mentioned, and then we end with a total project pipeline of 32 gigawatts. This is the first time we show the 32 gigawatt to most of you. And therefore, please remember the nature of 32 gigawatts. It is early generation. It is early part of development that also means that whenever we contract and have governments there, there will be a process of permitting and others, so it will not be all 32 gigawatt that materialize in orders going forward. But we are excited about it. We can see it's moving in the right direction also towards the target we discussed when we had the Capital Markets Day of an annual order intake in the region of three to five gigawatt when we come a bit further on. Development pipeline split below, again, here positively we have split across both Americas, EMEA and Asia Pacific of the 32 gigawatts and really appreciate the progress the development team has made in 2022. With that, we come to the sustainability strategy here. And I would just say, we absolutely have had a breakthrough. We announced that today, and I hope some of you will pick that up separately, but also on recycling and not least circular economy for blades. We now have something where we don't need to develop anything else than just using the blades that we are pulling down and then we can decomponize that which we are very excited, both with the partnerships and also now in large into customer discussions. As mentioned before, we were ranked as the second most sustainable company in the world by Corporate Knights and the most sustainable energy company in the world, which of course, we are very pleased with also demonstrating that our activities and way of working with it is appreciated from the external world. We have seen a decrease in our own carbon emission and also the CO2 avoided due to the lower levels of produced and shipped turbines and solutions in the year. Part of that, when we look at our own carbon emission, to some extent, mitigated by lower produced and shipped solution, but at the same time, used more carbon emission due to the very, very high activity within the service area. Safety in the end, we ended slightly higher on the TRIR which is not what we want to see, but also have had to appreciate that part of the higher activity levels across a number of countries have led to that safety is a key priority and we work constantly with it. So with that, I will hand over to Hans for the financials.
Hans Martin Smith: Thank you, Henrik. And let's start out with the full year income statement first. As you said, it has certainly been a challenged year where both the revenue and profits ended, as we all know, where they did. First of all, on the revenue side, a decrease of 7.1% year-on-year, roughly â¬1 billion. This was mainly driven by the Russia-Ukraine war as well as some delays we saw in the Project business that were then only partly offset by the higher activity levels we had in Service. Gross margins decreased by 9.2 percentage points, driven by pretty much the same topics that we have been discussing throughout the year, lower profitability in the Power Solutions segment, in particular, which in turn was driven by impairments, by warranty provisions and by the instability that we've had in the supply chain. As such, it's not a big surprise that the EBIT margin is suffering as well. It decreased by 10.8 percentage points year-on-year, driven, of course, by the lower gross margin and by further impairments that sits in the SG&A. And all in all, that's what takes us into the minus 8% that we had for the full year. Finally, let me also mention the â¬444 million of special items we had linked to the adjustments to the manufacturing footprint and the Russia exit that we announced earlier in the year around Q1. Q4 then actually saw higher activity levels, but also with challenges to profitability. So, revenue increased by 5% year-on-year or roughly â¬200 million. But with the gross margin that decreased by 12 percentage points year-on-year, driven by the same topics really that I mentioned on the previous page, impairments, warranty provisions and supply chain instability. This is what then brings us to an EBIT margin that decreases by 12.8 percentage points year-on-year. Again, pretty much the same explanation as before. So, I'll not go more into it here. But of course, clearly, this is something we are working on bringing back to a better territory. In the Power Solutions segment, I guess, the numbers in some ways speaks for themselves. And arguably, this is where we have the biggest challenge, but also the biggest opportunity for bringing us back into positive territory again on the profitability side. Revenue decreased by 14% year-on-year. And if you look at the bar chart to the right-hand side here, you can also see how the offshore segment had an impact on the activity levels for the year as that got more than halved in 2022 compared to 2021. EBIT margin before special items decreased by 14.7 percentage points. Again, as it highlights here also, same reasons as we have only seen on the previous slides. And as I said before, clearly, bringing the Power Solutions segment's profitability up is one of the key topics that we are addressing in the company right now. The Service business, we mentioned already had like strong performance, strong growth specifically with a revenue increase of 27% compared to 2021. This was driven by higher onshore activity, which includes transactional sales and indexation uplifts. The 2022 EBIT margin was â¬675 million, which is an increase of 17% compared to last year. And that leads then to an EBIT margin percent of 21.4. As highlighted earlier in the year as well, we've had some single project effects on the margin and higher transactional sales as well, which has had the slight dilutive effect compared to where we started after the year, but I would like to stress again that I think it's a very good performance from the Service business to see these levels of growth and these levels of profitability. SG&A. I mentioned already a bit. And as you can see here, there has been an increase. The increase has in part been driven by the impairments we saw on the offshore V174 platform in Q1 and Q4 to the tune of more than â¬100 million, â¬109 million to be precise. And that brings us to a relative SG&A level of 8.8%. But again, if you factor in the high inflation that we've had during the year, and the offshore impact from the impairment, I think in some ways, the development is less, say, of an increase than what it might look like when you look at the underlying numbers. On the cash flow side, we had a free cash flow of â¬953 million, driven, of course, by the negative operating activity effects that we have seen. When you have profits that we do have, then, of course, that also has an impact on the cash flow that you're seeing. I would like to stress again though the strong Q4 cash flow we had of close to â¬1.3 billion. And then finally, I will also highlight here that our cash flow from financing activities stood at roughly â¬850 million as a result of the EBI loan we did earlier in the year as well as the bond issuance that we did back in March. Net working capital was over the year generally stable when you look at, say, the typical movement patterns we have seen. It was negatively impacted by an increase in level of inventories, which was then offset by down and milestone payments and by the receivables as well. And that is what takes us into the â¬1.35 billion that we have by the end of 2022. Investments came out at roughly â¬750 million in 2022. This was driven by the investments in the V236 offshore platform as well as investments into the EnVentus modular platform as well. There's a small offset coming from divestments of the Lauchhammer blade facility. But looking at the picture, actually, not a big change in investment level compared to last year and in some ways also not compared to the years before. Provisions and LPF remains a focus area for us for reasons that I say quite obvious. I would argue when you look at the chart to the right-hand side here, LPF continues to be at high levels as a consequence of the extraordinary repairs and upgrades that we are currently carrying out. Once the provisions in the quarter amounted to 9% of revenue and for the full year, 6.3% of revenue. The higher warranties primarily relates to increased repair and upgrade cost, but also then a few select cases that came up in Q4. Of course, it's fair to say that this is an area that a lot of focus goes into, and this is an area that we also naturally have to say, improve our performance on. And that's, I guess, given when you look at numbers like this. Finally then, capital structure. Net debt to EBITDA remains well below threshold. I would also like to say though, that when both the nominator and the denominator sits at very low levels, it is a ratio that is highly, highly volatile. And with a net debt negative for, say, a net cash position of â¬46 million and a negative EBITDA of â¬63 million, then you would technically end up in 0.7. But as said, when the numbers are as small as they are, then it's not necessarily the most meaningful ratio to look at. What is key to stress here is that restoring profitability in our view, is the route back to, say, having a more stable development on this metric and clearly 2023 is a year where we will do our best to achieve that. With that, I turn it over to you, Henrik, again for the strategy and market outlook.
Henrik Andersen: Thank you, Hans, and as normal practice here by year-end, we also do a short review on our strategy and not least also execution of the same which I will spend the next few slides on and also, of course, include that in probably our Q&A for later. So when we look at everything we do, it is centered around the wind. If we look at our core areas, the onshore, the offshore, the service and development it sits in and around our core, where we also, with our customers, provide solutions that are leading to approximately 220 million tonnes of CO2 avoided every year. We've also seen this year that the enablers are actually supporting the core of the solutions. We have seen that the service adjacencies, among other things that come into, where we are now also offering digital solution on spare parts for both the industry and also our customers start ramping up. We've also seen in PtX and Hydrogen, we are participating. It is a very inspiring area. It's a very exciting area, but it's also an area that probably for us, in terms of turnover and EBIT won't come with a real impact until we get later into this decade. And then again, another year where Vestas Ventures invested and also co-invested in a number of new investments, among other things, an electrolyzer company. And also, we have increased our investments into models on the tower side. All of that, of course, sits and support the customer and supplier partnerships, we value so highly. And we also, and I encourage you to read about in the Annual Report where we also described about how we see the closest partnerships developing in the years to come. When we talk about that, we also work in a world where we see changes. We see that currently today, that wind electricity approximately sit around 1% of the worldâs supply. If we then look at it, there is still 99% to go of the energy supply. But I think more importantly, we can all see that happening on a daily basis that the approximately 20% of electricity is expanding because the electrification is happening as we speak. Just as a fact here, three years ago, new sales of electric cars was only a bit more than 3%, last year, it was more than 13%. So itâs actually increasing annually. And Iâm pretty sure that transformation is something we will see only accelerating. And therefore, adding more on the demand side for renewable green electricity in the years to come. Some of the challenges unfortunately sits on the right-hand side because this is where we also see what will it take to get to Net Zero. Most people and most governments can calculate these targets. Theyâre easy to set and calculate. We can announce pledges and we can state policies but the difficulty in this chart is actually in delivering not least the frame and also the permitting that fulfills these targets. I will say here, it seems like around the world, governments are tracking this differently. Weâve seen IRA from the U.S. being introduced. We have also seen EU in a year of energy crisis in Europe, have a target of 31 gigawatt and actually delivering 15 gigawatt in 2022, which is, of course, disappointing and not really facilitating for further capacity ramp up in Europe. So this is the one chart, which Iâll also say is very different to the financial reporting because this is cumulative, meaning that if youâre a short 16 gigawatt from last year, that actually adds to the demand and not least also requirement for speeding up the energy transition. When we then look around us currently, I think there is a huge debate, which we canât avoid just commenting on. Of course, we welcome IRA in the U.S. We think IRA is, again here, a frame that sets out how weâre going to do the energy and not least the sustainable energy transition in the U.S. Donât forget on the IRA that it is a continuation and an extension of something that was called PTC prior. PTC is a part of it but it is expanded, but it now has a 10-year tenure rather than typically a few years tenure with all waste gave very difficult planning processes for the industry. So I will say here and again recognize politicians for taking both our input and opinions on it, and really appreciate we now have a 10-year frame in the U.S. to expand on, which, of course, will happen as we speak. EU is working right now with the Green Deal infrastructure. I think the rhetoric has been somehow negative towards the IRA in the U.S. But I think we are also getting closer towards saying we need to also have our own frame here, but it probably has caused some concerns that itâs both an EU and also 27 countries that have to find a common ground on this one and hopefully not in our eyes, leading to individual countries opening up for state subsidy towards individual target setting or individual manufacturing. So for us, we see generally the industry working towards have long-term policy that gives certainty around the investments. Letâs not forget this is 30 years energy supply solutions, not just quarter-on-quarter or month-on-month. We need simple and fast permitting to enable fast build-out and then just a little bit of heads up here. Letâs work with auction prices that actually reflect the current cost, but also the public funding that incentivize industry maturity and discipline. We have seen in the last quarter, in fourth quarter, we saw, what I would call, a very failed onshore auction in Spain at â¬45 that was totally unsubscribed. â¬45 was highly aspirational. But when you then compare that with the average electricity price in Spain of â¬170 in 2022, as an average, you could wonder, why was it we didnât have a connection between market price and also providing the consumer with further capacity at lower cost. We can talk more about that, and Iâm sure we will have that over the coming weeks, months and potentially also quarters. When we then look at our own portfolio of business, onshore, growth is actually picking up. We believe it will be pick up also with some of the comers in there, especially the U.S., especially also Latin America, which you have seen from our side. And we can also see from the orders coming through in Q4, it takes longer, but you can also see that there is a broad sense of order intake in more than 30 countries in that. So we see onshore 8 to 10 compounded average growth rates towards 2025. When we look at offshore, percentage is big, but I think also the percentage will always remain big when individual projects can influence 5 gigawatt of installation in 2022. I think the only highlight here is to say many countries are now embarking in offshore. I think itâs almost becoming a bit of a competition between countries to attract both the customers and OEM. I think there, I will just highlight the scalability in the future is 10, 20 years ahead, and therefore, the predictability and visibility of not least PPA levels, but also how to do localization is absolutely top priority for an industry if it has to make sense for the three partners in the triangle, governments, customers and OEMs of the industry. When we look at our Service business, a very, very solid year. Weâre happy with it. Of course, it has been challenged in a year with most of the markets being challenged in terms of electricity and energy crisis. But here we see again a compounded average growth rate, 8% to 10%, and we see our installed fleet taking part of that as well. Great business. And of course, we keep investing in the business. On the development side here, we also see from 1.6, weâre just a little bit shading the 2025 because having a meaning about what will it be and what could the number be in 2025, we generally will say it will grow more than 10%, and the ambitions are there for the development, and we are excited about it. But as you will also appreciate individual orders and FOI can influence that target setting quite positively or negatively as it happens to be in a single year. And then we come to our long-term financial targets. They remain the same, and we work tirelessly towards all of them. When we look at it, its revenue outgrow the markets. EBIT margin more than 10%. Free cash flow is positive over the cycle and return on capital employed is 20% over the cycle. The industry absolutely needs structural change to increase profitability, especially within the wind turbine segment. Itâs obvious. Vestas is on the right strategic path and our effort focused on strengthening the commercial discipline in customer dialogues, which we are demonstrating success in also through 2022. We need to lower the frequency of new technology introduction or at least make them last and upgrade easier and then, of course, mature the assessments of the risk we are having and sharing with our customers. In spite of the 2022 financial results, a challenging business environment and lower near-term visibility, a 10% EBIT margin is in 2025 absolutely realistic. 2023 is the year where we will be doing everything we can to put Vestas back in black. And that is actually the say and work around investors for all our employees currently. When we then look at our sustainability slide, there are no new topics with the exception of today that we have announced the breakthrough within blades and not least the blade circularity. We are proud of that. Weâre also proud of the partners. And I think in there, we will expand that towards the world and towards customers. And Iâm pretty sure we will have some exciting things with customers being tested in the coming quarters. That also led us maybe smile a little bit when we originally set the target of the circularity has to happen before 2040 because we didnât have the technologies. Now we start seeing the technologies coming, not from necessarily with investors, but in partnerships with external people that also no things on areas where we probably can learn a lot. So we look forward to comment on 2040, but we are not just there yet, where we start moving some of those yearly year targets, too. So sustainability overall, it is a license to operate, and it will be a license to operate not only for us in the industry, but both for our customers and not least also our partners in the supply chain. That leaves me with the last, which is the outlook for 2023, where, of course, some of it you already had, but here it is with a bit more details from 27 of January. So revenue, â¬14 billion to â¬15.5 billion. Service is expected to grow minimum 5%. On the EBIT margin before special items, itâs from minus 2% to plus 3%, and the Service margin in there is expected to be approximately 22% for the year. And again, there highlight that we will have a one-off income of approximately â¬150 million, contributing to the margin in 2023 from the sale of the activities to KK. The total investment is for the year expected to be approximately â¬1 billion, and that is with a normal update on a quarterly basis following that. It is important to note that some of those basic assumptions in here of course, and based and behind the guidance is more uncertain than normal. It is another difficult year to work through the backlog, but also work through what is the world is giving us of visibility and predictability in the forecast. But I will also say that is, to some extent, also reflected in that our EBIT margin is with a range of 5%. The 2023 outlook is, of course, based on the current foreign exchange rates. So with that, I will just say thank you for listening in, and Iâm sure there will be a number of questions following that. So with that, I will hand back to the operator for Q&A.
Operator:  Weâll take a question from Ajay Patel of Goldman Sachs.
Ajay Patel: Good morning and thank you very much for the presentation. I have three questions. I think I want to first start off with the U.S. IRA. Clearly, there are some incentives for wind manufacturing on that side. I wanted to ask how that would benefit your business, if at all? And how would you envisage that flowing through? The second question I have is around ASPs. Now weâve had huge movements over the last couple of years, and that has been great to see. But I want to try to understand a little bit of the pricing impact for 2023. So is there any chance you could give us the deliveries for 2023 for onshore that are consistent with your revenue guidance that youâre giving? And then the last question I have is, youâve highlighted the 2025 margin target of greater than 10%. I just want to understand a really high level, what are the situations that could drive an outcome for that target to be realized earlier? And equally, the other side of that, obviously later as well. So just trying to understand some of the drivers there as well, that would be really helpful. Thank you.
Henrik Andersen: Thank you, Ajay. Iâm still sitting on the chair when you asked for it earlier, because I think on a day like this, where you announce a loss of this nature, I donât intend to indicate earlier sort of confirmation of a 10% positive target. But let me do it in the right order. I think on the U.S. IRA, it is clear that it is still in work in progress. Customers are putting their projects through the treasury approval backlog. And as such, the whole thing here is then that you â and we will have with our customers to work through the assets and the different asset types to be qualified, first of all, as normal under the BTC and secondly, also under the AMPC. We are doing that diligently project by project. And therefore, what will be most predominant driver you will see in our part is, of course, that the activity will start picking up gradually when we come through 2023. Youâve seen in Q4 that we have started taking orders. Some of the orders are earlier sort of applicants towards the IRA. And there, we are just working through the details. But we can see the same as other market participants. This leads to a rather aggressive build-out over the coming years in the U.S. But I think itâs probably one or two quarters too early to say about the scope and the magnitude. But I think itâs fair saying all customers are back in the planning and also in the planning for projects right now. Iâve heard numbers of coming into this pre-selection and also approval process, and they are high, and we see that. It will come through to us. Of course, you will have to look for the order intake first, thatâs the first sign. And then afterwards, you will see that it, of course, comes through also positively towards delivery. And there will also be some of the probably equipment that will qualify for it. So a combination of several factors. So watch out for the order intake is probably the best early view. Then on the ASP. If you see the ASP just for the year of 2022, we have had a significant development in ASP just over the last four quarters. So your answer is â or your question is not to be answered in such as for quarterly or for the year because some of the projects that are not so attractive from an ASP, of course, is being executed in 2023. And if we can push some of the more attractive orders in, they will also come in 2023. But there is a likelihood that the ones we took in of 2022 will influence our 2023 to a lesser degree. So therefore, Iâll rather talk to the time line of it. You can see, and I think weâve spoken to it, our backlog has probably never had a broader range in terms of pricing which also means that you and we will have to see an expected improvement quarter-on-quarter and then individual projects can influence the profitability when you compare quarter-on-quarter. But there will be a phasing of improving quarter-on-quarter, but we wonât guide on the individuals. But expect first half is negative, then trending towards positive in second half. When we then say on the long-term targets, I think here, if you take just the breakdown of 2022, clearly, in 2022, we have been providing quite a lot of warranty provision. That is not a sustainable level for our quality and our expectations. So quality is one that will drive an improvement towards 10%. And then, of course, when you look at the pricing here, and the way both customers and the supply chain has actually sort of reacted to the conversations, I think itâs fair saying our Q4 order intake was the highest in terms of â¬1 billion. So we can see that the progress is there. So pricing and pricing discipline is the most important factor in getting towards the 10%. And probably that goes without saying when you are able to change more than 30% in the year, at some point in time that is the biggest lever towards the 10%. But of course, we have to execute flawlessly in our supply chain as well. But that one, I think we have been there before. So on that one, we are probably cautiously optimistic that we can get our own house in order.
Ajay Patel: Just one clarification, please. Just on the U.S. IRA. What about the tax incentives on the cells and turbine manufacturer? Do you get the benefits of that kicking through to your numbers? And therefore, you see margin improvement from U.S. orders? Or do you not see that benefit coming through to you?
Hans Martin Smith: Of course, the â say, effects of, I guess, what youâre referring to is the AMPC. Of course, that is something that we are currently looking into and which, of course, we are also expecting for that to have a positive impact. And we can discuss that more at some point once that becomes more clear. But I mean, naturally, given the nature of how that is structured, this is something that we are currently looking into right now.
Ajay Patel: Okay. Okay. Thank you very much.
Operator: Weâll take our next question from Casper Blom of Danske Bank. Your line is open.
Casper Blom: Thank you very much. First question goes to the Service business. I just noted that the backlog value is sequentially down a bit from Q3 2022 into Q4 by a bit more than â¬2 billion. Weâve been used to that almost being on a constant positive trend. So if you could explain whatâs happening in the Service backlog value there? And then secondly, could you give any clarification to what provision levels you are assuming in the guidance for 2023? And thirdly, if I may, we now see that energy prices have come down quite a lot during the fourth quarter and also here into 2023. Do you in any way see that as being a challenge in terms of settling new deals with customers that there might sort of be new uncertainty on longer-term PPA levels? Thank you.
Hans Martin Smith: Okay. Thanks, Casper. Iâll take the two first questions. On the first one, on the Service backlog, I can understand why youâre asking, because so did we, when we looked at it. This has been a year where, obviously, youâve seen some fairly significant movements. And where, for instance, indexation uplifts had led us to go through things quite in detail. And unfortunately, as it turns out, there was simply an error in the way that the system has been set up and how the service backlog was calculated, so to say. So, we have made the correction that youâre pointing to is, of course, unfortunate. Itâs not something that impacts profitability. It only impacts the volume that sits in the backlog, but thatâs why we have made the correction that is leading to the slightly different development that youâre looking at than what you would have anticipated when expecting to see a backlog number here from Q4. On the provision level, what we are looking at there, I think we indicated that already that the levels we are at quite right now got quite unsatisfactory. Weâll not give you, say, a specific number on it. But I can say that, of course, we are not assuming that 2023 is going to be as difficult as 2022 was when it comes to the provision levels. Clearly, there is an expectation that we can manage to improve on the side of provisions in the year weâre in now. And then, Henrik, I guess you will take the last one.
Henrik Andersen: On the energy prices, I think youâre right. To some extent, it has come down. But I also think thatâs probably nice because that meant that we seem to be able to come through a winter season without having a blackout or other things. But I also think we have to get used to that what weâre still seeing in terms of electricity prices. And I just said with the table sort of to see what was the average through 2022, Casper. I mean we still have some of the lowest is Finland with approximately â¬155 per megawatt hour in 2022. And we have had some of the highest fast approaching close to â¬300 per megawatt hour. So, I think we are in a period now where â which is also what we are encouraging everyone to sort of say, find the right plateau. So, we donât have aspirational of 10% or 20% of the market price. Market price is coming down. PPA levels are probably finding a natural home and we see that in many countries right now, right from Asia Pacific to Europe. So, I think there is a positive in here, and weâve just gotten used to that electricity and energy wonât be for free. And there is also a security element of it. So, we think there is a good one. Actually, I think if thereâs one positive, I will say, is that the energy crisis have led to that the private sector is much more interested in talking to each other over the private PPAs than necessarily depending on the public PPAs. I think thatâs actually a benefit, Casper. And then prices will find its equilibrium over the year or maybe the years to come.
Casper Blom: Understood. And the reason for asking is basically that my thinking is that what you want to see is stability in PPA levels as that will enable customers to sign deals. And is that also what you are seeing right now, Henrik?
Henrik Andersen: You can see we have made progress in some of it. And some of the people that we â customers we have done deals within Q4 have been on the hunt for both stability in terms of PPA, but also you cannot come to a financing group and getting your project approved if there isnât also a reasonable stability in the price and the investment level of the solution. So, I think everything here contributes to it. And we can have a quiet hope that some governments will also start saying one of the ways of getting the price down to a normal balance would probably be to add a little bit more capacity, but thatâs just a slight hope from our side.
Casper Blom: Thank you very much, both of you.
Operator: Our next question is from Claus Almer of Nordea.
Claus Almer: Thank you. Also a few questions from my side. Henrik, the first question goes to the order pipeline. Maybe you could give some color on how do you see the pipeline moving and maybe excluding the U.S., which you have already addressed? That will be the first question.
Henrik Andersen: I was just about to search in the annual report, because I didnât think we had one in there. Now, Claus, as we are saying, we have had an increasing prospects of projects in the pipeline, and thatâs still the case. And therefore, as I said, have we reached a low point through 2021 and 2022? Iâm pretty sure of that. Why is that? Because at least what we have now seen is thatâs the surroundings, whether itâs our customers, whether itâs the finance industry, whether itâs the off-take industry, we have now seen that there is a better understanding of that we get things done. So there is a likelihood that we will see some of those orders being easily executed than they have been in the last four quarters to six quarters, because it has been difficult. And some of the projects we have announced in Q4, they have been more than four quarters under the way, and thatâs not normal business practice. So our order pipeline outside U.S. is growing, and I hope we are able to share some of it continuously through the quarters. But as we also said last year, you can probably also see that a number of the orders are getting bigger in onshore simply because they are going to be used for either clean offtake to industrial players or potentially also to future of the hydrogen. So therefore, you will see maybe a bit more lumpy parts depending on in which quarters the larger orders come. So, we are cautiously optimistic on that front.
Claus Almer: So should we expect that this, hopefully, higher activity level will start out already from Q1 and thereby follow a strong Q4? Or is it more a back end 2023 we should expect?
Henrik Andersen: I wonât give you any order quarterly guidance. We are working diligently, and I can assure you, every time we can sign an order, we sign the order, if itâs right pricing because that also triggers us that we can start having a better capacity planning. And Hans can sit here next to me and enjoy the cash flow and the reservation coming in. So thatâs what we are going to do.
Claus Almer: Fair enough. Then the second question. When we talk about these warranty provisions and if we skip out the existing issues and look at orders you are taking in today, what is the provision level, i.e., all these issues?
Henrik Andersen: No, I think, you donât take a warranty provision against something, where we are working towards in a longer perspective, which we have been quite open around that. We expect to come back into a range where the first milestone for us is passing 3% in warranty provision, which historically has also shown to us. That has not been the case. And a couple of the cases we have seen here in Q4 are new cases brought on quite old components and raw materials, which is disappointing. But therefore we are addressing it and we are addressing that in the normal way we do it. But it shouldnât happen. So thereâs not much else to say about clouds and that we work diligent through. Is it painful? Very.
Claus Almer: Okay.
Hans Martin Smith: Claus, that you sit and book warranty provisions against specific projects customized to something thatâs in Sweden or Germany, thatâs not  how it works.
Claus Almer: Sure. Just trying to figure out, the magnitude of issues in the new projects versus the issues you've had with already installed turbines?
Henrik Andersen: There â but there youâll also see from the no clouds and the way we run warranty, thatâs a general warranty as across what actually comes in as quality challenges. So that is booked as across Vestas.
Claus Almer: Okay, thanks.
Operator: Weâll take our next question from Deepa Venkateswaran.  Your line is open.
Deepa Venkateswaran: Thank you. I had two maybe bigger-picture  questions. One is, youâve highlighted that permitting has been one of the reasons why the activity levels in 2023 would be lower. So what would you do if you were in charge of improving? I mean, what concretely would you want the countries or the EU to do to improve permitting in time for the 2030 targets to be met? And my second question was on the European IRA. So there is, youâve talked briefly about it in the previous call. But there is a cryptic remark in your presentation, which says that public funding should keep in mind in â should drive industry maturity and discipline. Can you talk a little bit more? Are you saying you really donât want any manufacturing subsidies in Europe? Or are you saying something else? Thank you.
Henrik Andersen: Thank you so much, Deepa. So if I look at 2030, as I said to the graph, I am both concerned and also disappointed to see that we continuously every year sit and highlight a goal that is far from what we are actually achieving. And let me just reminder, it was exactly the same that happened in 2021. And in 2021, I will say thatâs part of the reason why we then see an energy crisis hitting Europe, because we are behind in doing what we actually laid out to do. And thatâs of course disappointing. Some of it in Europe is that we have built an enormous bureaucratic red tape. And to some extent, you cannot fix energy policy and supply nationally if you have given your municipalities the permitting to sit and decide on. So therefore, you have to do some sort of ease of either the permitting process in time or in administration and bureaucratic documentation around it. So either or thatâs the only way Europe will get to a 2030 thing. And that goes for both onshore and unfortunately also goes for offshore, which we also have seen recent examples of that itâs just worrying that we are going the opposite way of actually making it easier. On your European one, we donât believe that individual state subsidy for manufacturing and other stuff, we are actually pretty much dead against that.  So if we look at it, it is about creating a visibility for both customers that are building for OEMs that are part of the capacity of the buildout that if we have the visibility of capacity, then itâs profitable, and then we can invest and we can create that. So itâs not necessarily sitting here and asking EU about competing with an IRA. U.S. have invested in renewable transition for more than two decades. They have come and therefore also potentially have a higher, I would call it a little bit higher predictability in energy prices, or at least the electricity prices seems to be at a better level. So what we are saying here, the visibility of a 10-year framework is actually what both customers and industry will be looking for, because 10 years also drives investment into capacity and new factories. And with the current ASP, we will be willing and we can see that on our CapEx investment, we invest in both technology and localization with that number.
Operator: Weâll take our next question from Gael de-Bray of Deutsche Bank.
Gael de-Bray: Thanks very much. Good morning, everybody. Can I start with offshore? I mean, the offshore revenue already dropped significantly in 2022, I think now below â¬1 billion with obviously some delays in execution. So I was a little bit surprised by your comments I think in the press release this morning that you expect offshore activity to further decline over the next couple of years from the current low base. So, I mean, do you really see lower revenue this year and next before the expected bounce back to 3 billion in 2025? And then the second question on the 1 billion CapEx guidance for 2023, I was hoping you could give us a bit more granularity on this so that we could understand a bit better the magnitude of the increased CapEx in offshore in particular. And if I may just a final question on Chinaâs decision to or the consideration that there could be an export ban on solar wafers and wafer technology? Any first thoughts on this, on the potential indirect consequences for the wind industry? Thanks very much.
Henrik Andersen: Gael, thanks. I think I'll take them in order, and I can see we are now developing into a little bit of discipline here that restriction was two questions, so everyone ask three. So just a little encouragement to stick to our two questions. On the offshore, I think actually, it's positive in a sense of that we have had our prototype up 15-megawatt. It starts the first electricity generation by end of Q4 last year, Gael, which means that we are ramping up as planned for the V236. We cannot ramp it any sooner than what is also manufacturing and serial manufacturing, which will then go by end of 2024 and into 2025, and therefore you shouldn't expect any of that. What we've also seen is some of the projects of the old platform deviates from year-to-year, and we don't expect to see much more of it, which is also a reflection of that you have seen some of the impairment of the existing platform. So we are just sort of cautiously saying here, not much more will happen on the old platforms, and we cannot have offshore turnover from the new platform before it's actually in serial manufacturing. So that is the reason. Then we have, as we also shared here, a couple of projects that moves, which also just illustrates that offshore projects they do come with a higher execution risk when you are at sea and has to use both ships and cranes at sea. In terms of the breakdown of CapEx for 2023, we don't do that. And Gael, you will also appreciate it's simply an industry where it will be very nice to know that breakdown maybe for you, but I'm pretty sure there will be others that will be even more interested in it because that tells you also around where we are localizing and potentially what platforms we are investing more in. So from a competitive angle, that's not what we will share. On the last one, on China, I will just say it's part of our geopolitical uncertainty. And it's beyond what â at least what I see and know it's so new, let the industry work through that, especially the solar industry. And as I said right now, I just welcome any positive effect for the wind industry, and that's where we are working. So we will see how that affects us.
Gael de-Bray: Thank you.
Operator: We'll move next to Akash Gupta of J.P. Morgan.
Akash Gupta: Yes. Hi. Good morning everybody and thanks for your time. My first one is a follow-up on 10% margin target. So in the annual report, you talk about more than â¬3 billion revenues in offshore by 2025. Service will grow as installed base grow. The question here is more on the onshore volumes that you will be required to hit the 10% number. And on the same topic, this 8% to 10% onshore CAGR that you mentioned in the presentation, shall we assume that you need a similar type of growth or maybe more than that given you want to outgrow the market in order to reach to 10% by 2025? So basically, what is the sales growth that you need in onshore to hit 10%? That's the question number one.
Henrik Andersen: No, I don't think you can say necessarily that there is a need to get to a certain turnover of that. And I think we have said that very clearly in the last many quarters, Akash, that getting to 10% is the profitability. And if we have a choice, we prefer to have profitable order backlog, and we have to have profitable turbine execution and that has to come to 10%. There isn't an implied 8% or 10% growth in the top line sort of indicated for getting to 10% EBIT.
Akash Gupta: Thank you. And my second one is on Service. Here, I'm wondering if you can provide split of sales between transactional item and the sales that come from the backlog that you have â big backlog that you have in the segment? And also, when we look at your loss factor production â loss production factor chart, and given that more service contracts are tied to performance of turbines, can you explain how much of the year-on-year margin erosion in Service in 2022 was tied to higher loss production factor? Because we see the chart shows production factors still rising. And what impact have you baked in your service guidance of 22% margin in terms of how this loss production factor may progress in 2023, given the warranty issues and product issues that you have?
Hans Martin Smith: I'll see if I can try and give you some meaningful answers to that. I think, first of all, when you do look at the Service business, of course, it's a â¬3 billion business. And that also means that, I mean, it doesn't take a lot of, say, high-single digit or double-digits, even low-double-digit numbers to move things around quite a bit as we also saw earlier in the year with some of the one-offs we had. I think if you look at the uplift we've had during the year, in terms of, say, the top line growth that we have experienced, Akash, then, of course, it's a fairly significant part of the difference to the original guidance that comes from the increased transactional sales that we've had. That's probably the best way of explaining what is the additional sales we've had from that. That also means, of course, that we are looking at, say, meaningful impacts if you go to the 27% that we have now compared to where we started the year, then I said, it's not that it's only â¬20 million or â¬50 million we have achieved from that, it's more. But it's in some ways also a bit difficult to distinguish about, say, where does it come from, which is, I guess, also what leads a little bit into the next point you have as well, which is, say, the lost production factor. I have to admit I would be challenged to do like a one-to-one bridge from the loss production factor into how the service business itself would perform. We're obviously making assumptions around how the turbines will be spinning in terms of the performance levels that are to be expected. But it's not that you can necessarily just make a one-to-one comparison between the service margins and the lost production factor. That would be a very, very difficult calculation to make. Does it have an impact? Of course, it does but it's difficult to put a specific number to it.
Akash Gupta: Thank you.
Operator: We'll take our next question from Kristian Johansen of SEB.
Kristian Johansen: Yes, thank you. Two questions from me as well. Actually, firstly, on the same topic on the Service business. So in terms of the 22% you guide in margin, it's a limited uplift from what you had in 2022. And then again, you say you should be around 25% margin by 2025. So can you just sort of talk us through the levers on the margin, both in 2023 and then what's going to lift further into the 25% level by 2025? And then my second question, just a clarification on your Development business. So on the slide, you highlight the contribution from Copenhagen Infrastructure Partners as part of the development. So the development earnings you will from this year include into EBITDA, does that include the CIP contribution?
Hans Martin Smith: So I think your first question, and I already forgot kind of what â I'll just look through my notes again, so get back to the second one. So the development income from CIP will not be part of the EBIT for this year either. I think that's a fairly simple one to answer. And then your first point was then, I think, on the longer-term EBIT guidance for Service.
Henrik Andersen: It's Service on towards 25%. And as we can see, Kristian here, some of it has been transactional. Some of it probably also there have put some pressure on the margin and some of that we are investing in the business, both from a digital platform part, as mentioned on Covento. And we are also investing in what is called LEAP, which is actually asking employees in the Service business to work differently when they service a turbine. So we are investing in the business with work tools that are supporting the business. Last region went live here in the beginning of 2023, and some of those efficiencies and synergies are coming towards 2025. And then as I said, maybe here as we are also here, it's important to be able to scale, to do what we have just done in 2022 to support our customers. And therefore, if that sacrifices a percent in investment of scalability, that's probably what we are just saying here. Between 2022 and 2025, we believe we will get there by part of it. But you can't grow 27% every year, that's for sure.
Kristian Johansen: Sounds good. Thank you. 
Operator: We'll take our next question from Mark Freshney of Credit Suisse.
Mark Freshney: Thank you. Two questions. Firstly, on the warranty provisions, is there any scope for you to recover that from your subsuppliers in any way? And is that something that could potentially come next year? And just secondly, on the EnVentus platform, can you remind us how many of your orders at current run rates are coming in on EnVentus and how long it will be before your onshore â before the product is efficiently developed and differentiated to be all of your onshore volume rather than relying on the 4-megawatt platform? Thank you.
Henrik Andersen: Thanks, Mark. And with that, I think also after this, we will stop the Q&A. But Mark, on the warranty there, it is, as always, when we have questions to either components or things that have come from the components or the raw materials our partners have been using, then it's a joint effort to both, first of all, root cause and secondly, also figure out who pays for it. So some of it came late in Q4. And therefore, we are in those discussions. So I won't further comment on it because it's down to individual discussions with one or two of our partners in supply chain. In terms of the EnVentus, I always say it's progressing. We're happy with it. We can see it's coming through in the main energy markets. It's incredibly important in parts of Europe. But I will also still say, Mark, sometimes you have to remember that we're also a bit addressing in terms of why is the permitting so long. Just here out here, when you got a permitting eight â seven years or eight years ago and you didn't have to apply for it, you're actually applying with two generations old technology in certain European countries. And I'm just raising it. It is a little paradox that you're actually applying for a permit and you then approve eight years later, which is an eight year old technology compared to a much higher efficiency, much lower outcome of levelized cost of energy. So therefore, again, an encouragement of speeding up the permitting, so you can actually get the latest technology available. It is a strange process that has some, I will call them, value destroying consequences. So EnVentus is working. We are ramping it up, but we are also ramping part of other technologies up to address the other markets in especially Americas and also in Asia Pacific. Good. Otherwise, thank you so much for listening in. I know we are going to meet many of you over the coming weeks on the road. We look forward to see you. And as such, thank you so much for the support in 2022, which was a difficult year, for sure, for Vestas. So thank you. See you out there.